Operator: Greetings and welcome to the BOK Financial Corporation Fourth Quarter 2016 Earnings Conference Call. [Operator Instructions] As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Joe Crivelli Senior Vice President, Investor Relations. Thank you Mr. Crivelli, you may begin.
Joe Crivelli: Good morning everyone, and thank you for joining us. This morning we’ll hear remarks about the quarter from Steve Bradshaw, our CEO; Steven Nell, CFO; and Stacy Kymes, EVP, Corporate Banking. PDFs of the slide presentation and press release that accompany our remarks are available on our website at www.bokf.com. As a reminder, during this presentation, we will make remarks about our financial forecast for 2017 as well as other forward-looking statements as identified on slide two. We refer you to the company’s filings with the Securities and Exchange Commission for more details about risks that could cause actual results to differ from expectations. We assume no obligation to publicly update or revise any of the forward looking information and should our expectations change. I'll now turn the call over to Steve Bradshaw.
Steve Bradshaw: Thanks, Joe. Good morning everyone. Thanks for joining us. This morning we announced earnings for the fourth quarter of 2016. As noted in slide four, we earned $50 million or $0.76 per diluted share. The sharp increase in interest rates following the November election had a very significant impact on our reported results. As noted in our 8-K that we filed on December [14] of 2016 we had a $17.4 million negative change in fair value of our hedged MSR asset. In addition, we have a reduction in value of our securities trading portfolio of $5 million. Together these items reduced earnings by $22.4 million or $0.23 per share. We also had a $5 million charge associated with our October of 2016 reduction in force and a $4.7 million charge associated with the closing of the Mobank acquisitions on the first of December. Together these items reduce earnings in the portfolio by an additional $0.10 per share. We experienced a multitude of non-recurring expense items throughout 2016 but our team here at BOK Financial produced some very positive results as well. We worked to the longest downturn in the energy industry since the 1980s and were involved to interest rate environment while remaining solidly profitable all throughout the year and delivering record net interest income and fee income. I feel very upbeat about how we are positioned for earnings growth in 2017. With the closing of our Mobank acquisition in Kansas City we are poised to accelerate momentum and drive even stronger growth in that important market. Mobank’s leadership and staff did a great job of growing the bank while we waited for approval and the earnings run rate momentum they have generated exceeded our per share of pro forma expectations. With the stability we have seen in oil and gas markets for the past six months, we expect to see markedly lower credit cost in 2017. In fact we are already seeing these benefits, we took no loan loss provision in the fourth quarter. The cost reductions we implemented in October will be fully realized in 2017 and should enable us the whole expense growth below the rate of revenue growth despite layering in a full year of low bank operating expenses. Reflecting our confidence during the fourth quarter, we bought back 700,000 shares of our stock at an average price of just over $70 per share. As shown on slide five, organic loan growth was 0.2% for the quarter or just under 1% annualized. For the full year organic loan growth was 3.5% which is at the low end of our growth target. This was largely due to continued paydowns in the energy portfolio which we expected as well as yearend paydown activity in the general, commercial and industrial portfolio. With Mobank loan growth was 6.6% for the year. Fiduciary assets were up 1.4% during the quarter, which is a bit slower than in recent quarters but at the strong 9% for the full year as our wealth management team continues to compete effectively for asset management business. I’ll provide additional perspective on the quarterly result at the conclusion of the prepared remarks, but now I’ll turn the call over to Steven Nell to cover the financial results in more detail. Steven?
Steven Nell: Thanks, Steve. Turning to slide seven, net interest revenue was $194.2 million, up $6.4 million for the third quarter, and net interest margin was 2.63%, down one basis point. Loan yields were 4 basis points higher this quarter while yields on available for sale securities and interest bearing liabilities remained relatively flat. On a year-over-year basis net interest income was up $12.9 million, and net interest margin was down one basis points due to loan growth, better loan spreads and stability and funding costs. On slide eight, fees and commissions were $162 million for the fourth quarter. We’ve indicated investors that fees and commission revenue can vary from quarter to quarter due to seasonality and other factors and this quarter is an example. While revenue was down 11% in the record third quarter it is a 5.4% year-over-year and 5.5% for the full year, in line with our mid single digit 12 month growth target. Brokerage and trading was down 25% sequentially, in part due to the mark-to-market and value of trading assets that flows through the revenue line which represented 5 million of the decrease. Excluding the mark-to-market and trading assets revenues would have been down 12% compared to the third quarter results. Transaction Card revenue was up 1.7% compared to the third quarter, 6.8% year-over-year and 5.5% for the full year. Transaction card revenue continues to benefit from geographic expansion and expansion of its sales forces, sales channels as well as the transition to chip and PIN security standards. Fiduciary and Asset Management revenue was up 1.4% sequentially, 10.8% year-over-year, and 7.4% for the full year. This business continues to benefit from asset gathering from customers and prospects and the weaver acquisition earlier this year also added 2.1 million to full year revenue. Mortgage banking revenue was down 26.2% sequentially. The decrease was due to lower origination activity in our retail and HomeDirect channels, which should be expected this time of the year. Additionally, the dramatic increase and mortgage rates likely impacted both purchase and refi activity. As noted now in the bottom of the slide, for presentation purposes we reclassed by certain origination expenses against mortgage revenue for the HomeDirect mortgage business for 2015 and 2016. This adjustment had no impact on profitability as it reduced mortgage banking revenue and personal expense by a like amount. Deposit service charges and fees were down 1.3% sequentially but up 2.4% year-over-year, and 1.9% for the full year. This line item has been under pressure for some time and this was the first year deposit service charges and fees posted full year growth since 2012. Turning to slide nine, expenses were $265.5 million in the fourth quarter. Personnel expense was $141.1 million, and other operating expense was $124.4 million. Mobank transaction cost totaled $4.7 million and the reduction and force related expenses totaled $5 million in the fourth quarter. There was also a $1.2 million of ongoing Mobank operating expenses for the month of December. We made a $2 million contribution to the BOKF Foundation as expected. Excluding these items expenses would have been $253 million. Turning to the balance sheet on slide 10, the available-for-sale securities portfolio was $8.7billion at quarter end compared to $8.9 billion at the end of the third quarter. Deposits were $22.7 billion at quarter end with Mobank adding $624 million of deposits. Excluding Mobank, organic deposit growth would have been 4.9% in the fourth quarter due to the high volume of year end activity with our clients. During the fourth quarter, we deployed $102 million of capital for the Mobank acquisition and $49 million for the share buyback as Steve mentioned earlier. Despite this BOK Financial continues to be well capitalized as evidenced by the capital ratios on this slide. Turning to slide 11, our guidance for [2017] is as follows; mid single digit loan growth for the full year we expect commercial real estate growth to taper off midyear and the energy loan growth to pick in the back half of 2017. These two line items should cancel each other out while general C&I personal loans and mortgage loans increase. We expect stable to increasing net interest margin and low single digit net interest income growth. We expect loan loss provision of $20 million to $30 million for the year although our bias is to the low end of that range at this time. We are expecting low single digit growth in fees and commission revenue in 2017. This is down from our original mid single digit forecast as higher long time rates are having a larger impact of mortgage production volume in their early going of 2017. Expenses in 2017 are expected to be essentially flat compared to 2016 full year expenses of just over $1 billion. We expect continued capital deployment to organic growth, the acquisitions, dividends and more limited stock buy backs. Stacy Kymes will now review the loan portfolio in more detail. I’ll turn the call over to Stacy.
Stacy Kymes: Thanks, Steven. Slide 13 shows our loan portfolio on a market by market basis. Loan growth was 3.2% on a sequential basis, and 6.6%year-over-year. Excluding $485 million of Mobank outstanding loans were essentially flat compared to Q3 and 3.5% for the full year as paydowns in the energy portfolio continue to be a headwind. On a geographic basis, Arizona and Kansas city posted the strongest loan growth in 20165. Arizona was up 28% and Kansas City’s organic growth was 15.8% for the 12-month ended 12/31/16. The decrease you see in Oklahoma is due to year end paydowns from large borrowers in the general C&I portfolio. On slide 14, commercial loans were up 2.7% sequentially and 1.3% year-over-year. Mobank contributed $289 million of commercial loans. Excluding those balances, commercial loans were essentially flat in the fourth quarter and down slightly for the full year. Energy was a headwind to growth with a net decrease of $600 million from 2015. In the fourth quarter services and healthcare remained strong and manufacturing rebounded from a down quarter in the third quarter. We continue to be optimistic about the pipeline for new loans in the early going in 2017. Slide 15 shows our energy portfolio as of December 31. At this point we believe we’ve got into the new normalized commodity price, with oil continuing to trade around $50 a barrel and natural gas in the mid $3 range. As I mentioned, energy loans outstanding were down $600 million in 2016 despite our consistent calling effort because of borrowers appropriate actions to reduce leverage. We expected headwind to subside in 2017. E&P line utilization is now down to 50%. To give you some perspective at December 31, 2014 just as the downturn was beginning in earnest the E&P line utilization was 51%, so we are now essentially back to pre downturn levels. We had a net recovery this quarter of 644,000 and total criticized and classified energy loans are down 14% from the third quarter on an absolute dollar basis. This is the third quarter in a row that we’ve seen material decreases in criticized and classified energy loans. We expect this trend to continue for the foreseeable future. Turning to slide 16, the commercial real estate book grew 0.4% in the third quarter and is up 16.9% year-over-year. As noted in our previous earnings call, we are wide around our internal concentration limit for this asset class and are focused on new transactions with the existing borrowers at this juncture. We expect outstanding in the portfolio to continue to show growth in the first half of 2017 and then taper off in the back half of the year. Turning to slide 17, the credit environment continues to be relatively benign. Non-accruals were down again in the fourth quarter, we realized net recoveries during the quarter and a combined allowance for credit losses to period end loans remained healthy and at the top of our peer groups. I'll now turn it back to Steve Bradshaw for closing remarks. Steve?
Steve Bradshaw: Thanks Stacy. Ultimately I think 2016 will be a year that we point to as a great case study on the value of our disciplined time tested long term focus business model. While profitability was muted due to all the factors we’ve discussed on this call, as a company we had a number of remarkable achievements. We navigated the most challenging commodities downturn we’ve seen in this country since the 1980s and with a $3 billion portfolio of 600 borrowers at the start of the downturn we essentially had one borrower with a material charge-off. I couldn’t be proud of our energy banking and credit administration teams. Not only is our energy portfolio in great shape as we exit the downturn, but our bankers are better for it. Start of 2014 few of our energy bankers have been through an extended commodities downturn and now every single one of them has and has learned firsthand our disciplined approach to this specialty lending business served us well in both good times and bad. Not on that, but despite a $600 million headwind in terms of paydowns in our energy portfolio we still grew our loan balances during the year. This is a remarkable achievement and we expect the energy portfolio to resume growing in the second half of 2017 and should be a benefit in terms of overall loan growth as that corner is turned. We delivered record net interest income and fee income with every single one of our fee generating businesses posting strong year-over-year growth. Our fee businesses are not only a potent engine for growth and a terrific differentiator for us when we compete against other midsized regional banks, but also an important lever for driving strong performance versus midsized regional peer banks across the economic cycle. We repositioned our balance sheet in the face of a rising rate environment and achieved neutrality just as real and sustained rate increases materialized. We could not have timed this any better as we stayed fully invested over the past several years driving literally hundreds of millions of dollars of net interest income, income that would have been forsaken have we maintained an asset since we have positioned during that time frame. We completed the acquisition of Mobank and while regulatory approval took longer than expected for an acquisition of this size, we are very excited by what we can achieve in Kansas city with Mobank. We are already seeing great results from the combined effort and Mobank is well ahead of our original forecast. Finally, we took action to reduce expenses and tighten our MSR hedging strategy to drive more stability in these line items in 2017 and beyond. Also as I said in the press release I’ve never been more excited about our business or our opportunity to grow earnings and enhance shareholder value. Operator, you may now open the line for Q&A
Operator: Thank you. [Operator instructions] Our first question comes from the line of Jon Arfstrom with RBC Capital Markets. Please proceed with your questions.
Jon Arfstrom: Thanks. Good morning, guys.
Steve Bradshaw: Good morning.
Jon Arfstrom: Stacy, maybe question for you just in terms of the loan growth drivers for 2017, you talked a little bit about hitting some of your concentration limits in CRE partway through the year, but then seeing the energy balances pick backup again. And I guess two questions here, are you seeing anything in CRE that bothers you or is that strictly about your concentration limits? And then the second part is, give us an idea of your overall energy lending appetite, given what we’ve been through, I mean, obviously your charge-offs have been very low around 1%, but you’re under 15% of the loan portfolio and energy right now where do we start to hit concentration limits there and what’s your growth expectation in energy?
Steve Bradshaw: Sure. Let me talk about theory first and I’m glad to pivot over to energy. I think with respect to the commercial real estate we have an internal concentration limits that’s measured based upon commitments not based upon outstanding and we’re basically at that concentration level and we’ve got some flexibility a little bit around that, but generally speaking we’ll discipline there. And what we’re seeing though because that’s measured on commitments there still some deals that were booked in the latter half of last year that will continue to fund up, so we still expect to see outstanding growth in that portfolio through the first half of the year, but then once we get there we are expecting to be kind of stabilize at that point and be less of a driver for total loan growth for the company. But there is nothing inherent really in CRE that we’re seeing today that has this nervous. We’re similarly situated. We’re finding other similar banks who are also looking at concentration limits, ironically we’re seeing spread in many cases structures improve because that the discipline around the industry overall in this space. In the multifamily space which is one that there has been a focus of regulators and many others. I think luxury multifamily probably is the area of most concern but overall CRE has held in very well, it just long in the two in terms of the recovery cycle and we know that it tends to be the most post cyclical of all of the lending types, so we are very discipline there as we approach it, but we feel very good about what we’re seeing both in our portfolio, how it held up to the energy downturn, substantially all of our real estate, our large portion of it is in, our footprint where there was some impact from the economic downturn related to energy and it held up extraordinary well. And so we feel good about that. As we talk about energy lending, as we have said I think on virtually every calls since this started we remain committed energy lenders. We put that in practice. We have done a large number of deals particularly over the last six months. We are looking for new deals, we are looking to expand relationship with existing customers and we have a very active energy team continuing to look to add to our energy exposure. We are very comfortable with it. We think our performance to this cycle is reflective of the institutional knowledge and strength of our understanding of this particular lending type and we’ll remain committed to doing much of this. Our internal limit release around 25% of loans and we have obviously room to move there and we’ll continue to focus on new energy production and growing current relationship as well. We’re obviously challenged with headwinds where borrowers --we had higher leverage profiles. Our deleveraging appropriately and using cash flow to pay down outstanding debt which creates a headwind, but we are very committed to lending, in fact recently saw an analysis prepared by a third party looking at the most active energy lenders of the last six months and we were one of the top three banks and really the top three were aggregated very tightly at the top and not a lot of activity below that top three. So we have been very active throughout the downturn and we remain very committed at this space.
Jon Arfstrom: Okay. Thank you. And maybe just a quick comment on pricing and energy lending?
Steve Bradshaw: Pricing improved in 2016 obviously as risk profile changed we see that pricing staying relatively stable. There is anecdotal evidence on a deal by deal basis where there is a little bit of pricing aggressiveness coming back, but it doesn’t appear to be a wide spread, expect pricing trends that we’ve seen over the last six months to remain relatively stable, maybe it take 25 basis points off the top end of a grid, pricing grid or something like that, but generally speaking the pricing is still much better today than it was few years ago in energy lending.
Jon Arfstrom: Okay. Thanks for the help.
Operator: Our next question comes from the line of Matt Olney from Stephens. Please proceed with your questions.
Matt Olney: Hey, thanks good morning guys.
Steve Bradshaw: Good morning, Matt.
Matt Olney: I want to go back to the outlook for fee income in 2017 that you guys lowered in the press release. I believe you should be there to lower mortgage production just from higher rates, which is certainly understandable. Are there any of the more notable items beyond mortgage that made you change the outlook for fee income in 2017? And specifically can you speak to brokerage and trading outlook? Thanks.
Steven Nell: Olney, this is Steve. Although the line items in the fee area we expect to grow next year, and advance, but the mortgage area is really the reason that we altered the guidance. We expect – I think the industry is expecting 16% decline in the origination activity. We’ve actually got about 13% decline in our mortgage revenue line item and compared to the rest of the growth of the other fees when you put all that together then we really felt like we needed to lower the overall guidance to slightly lower level that our mid single-digit.
Steve Bradshaw: Yes, Matt, this is Steve Bradshaw. Other thing I would add in that when we adjusted our fee outlook kind of based on changes in our rate outlook, the other area that was impact to be on mortgage was municipal underwriting. We’ve seen that pipeline slow as municipalities are contemplating what’s going to happen with rates and investors obviously considering what may happen from a tax perspective as well. So those are the two areas that we revise downward as we look in the 2017.
Matt Olney: And Steve, the municipal underwriting, does that fall under the brokerage and trading line item?
Steve Bradshaw: It does, yes, it does.
Matt Olney: Okay. Thanks. And then on expense outlook, it sounds like the outlook there for 2017 has improved since we talk back in October. Anything you can point to just to reflection of the lower commission payout from mortgage or have you identified additional cost savings beyond that $20 million that you highlighted back in October?
Steve Bradshaw: Yes. When we put our budget together we of course looked at every line item, professional fees, a business promotion. We take it some initiatives. Hopefully content that growth a little bit better than what we did in 2016, certainly the $20 million reduction in force that flows through. We’re actually a little bit ahead we think in terms of our expense containment and reduction with our Mobank acquisition, so we build a little bit of that in. So it was really was scattered across the expense base.
Matt Olney: Okay. Thanks guys.
Operator: Our next comes from line of Jennifer Demba from SunTrust. Please proceed with your questions.
Jennifer Demba: Thank you. Good morning.
Steve Bradshaw: Good morning.
Jennifer Demba: Just curious as to what you’re seeing from an M&A discussion standpoint right now, we’ve seen a fair amount of activity since the election. I’m just wondering if what you're looking for has changed at all in the last few months geographically size wise what have you.
Steve Bradshaw: Jennifer, this is Steve Bradshaw. I think our first book has really remains on making sure that our combination of our bank and Mobank in Kansas City is successful, we are off to a good start there. So that's kind of job one. Our interest in M&A really hasn’t changed. We are still biased towards infill opportunities. The size of the potential target could go larger over time. A lot of it depends on what might happen from the threshold of $50 billion and whether we see an increase of that from a regulatory perspective. That might change our appetite for somewhat larger transaction. But I think our base view is that we like the footprint we’re in. We do see some banks out there that we think would enhance and work with us from a cultural perspective and that appetite hasn’t changed.
Jennifer Demba: So, are you seeing any increase in just the amount of book or discussions you are having, I mean any material change there in last few months?
Steve Bradshaw: I would say, no at this point, again it’s a fairly small group of banks that we know fairly well, so communication is pretty steady. I wouldn’t say that there is an increase in terms of deals that are being presented to us outside of kind of our normal conversations.
Jennifer Demba: Thanks so much.
Operator: Our next question comes from the line of Jared Shaw with Wells Fargo. Please proceed with your question.
Jared Shaw: Hi, good morning.
Steve Bradshaw: Good morning
Jared Shaw: Just circling back on the energy have you started seeing other competitors come back in or you are talking about the top three and pricing so being good, is that now letting some of the other maybe smaller competitors come back in, or do you still look at it as a advantageous market from a competitive point of view?
Steve Bradshaw: I would say today it's still an advantageous market for us competitively. What we are seeing with some peers that had previously been more competitive is they got some internal concentration and they have been able to work down to and so maybe they will do dollar-in dollar-out in terms of the deal pays off. They will do a new deal. But I think the population is awfully smaller banks who are willing to grow their portfolio on a net basis in this space and we’re certainly one of those today.
Jared Shaw: And then in terms of last quarter you were talking about the strength of the new deals coming on the books assuming that still, so the case you are still getting the better terms than you had earlier?
Steve Bradshaw: Absolutely better than a year ago, and I think that's typical in any lending type when you are coming out of prolonged downturn. You tend to get better structures and pricing and then over time that strengthen, the lending space gets better, you get deterioration in both. We’re still on a very good place from both pricing and structure perspective in the energy space.
Jared Shaw: Okay. And then as you look at the main markets of Oklahoma and Texas, how is the consumer holding up, how is the general economic picture there as energy prices have recovered, but are still at historically lower levels?
Steve Bradshaw: Yes, this is Steve Bradshaw. I think in Oklahoma and Texas, employment has remained relatively stable, little softer in 2016 and what we saw in 2014 and 2015, but not dramatically. So when you look down within our business units that are consumer driven which I think was a core to your question, mortgage consumer banking, retail brokerage, et cetera, there is really no noticeable downturn there nor there is been any acceleration, any credit issues related to that segment. So I think the economy is in Oklahoma and Texas have been very resilient and are strengthening currently.
Jared Shaw: Okay. Thanks. And then finally just looking at the on the securities portfolio you had pretty big swing in the OCI from the right move. Is there any contemplation of or was there any restructuring of the securities done at end of the quarter or is there any expectation too or should we assume securities stay flat?
Steve Bradshaw: Yes, I wouldn’t say the securities will stay flat. As we move through 2017 and we do see a rate increase environment during 2017, in order to keep our interest rate risk profile to a relatively neutral position we will need to drop our security portfolio balances throughout the year. So we’ll try to keep you posted on that as we move through, but I would not expect them to stay stable in 2017.
Jared Shaw: And that's from absolute dollar level or from a percent of assets or maybe both?
Steve Bradshaw: Well, that will be both I guess, but absolute dollar level will drop the security portfolio. If we stay in a upward moving rate environment and that just the way we will manage our interest rate risk exposure to that neutral position.
Jared Shaw: Okay. What was the duration at the end of the quarter?
Steve Bradshaw: 3.1 years. And the extension and up 200 based on our analysis, it’s about 3.5 years. So it’s well content from an extension perspective.
Jared Shaw: Great. Thank you very much.
Operator: Our next question comes from the line of John Moran from Macquarie. Please proceed with your questions.
John Moran: Hey, good morning guys.
Steve Bradshaw: Good morning.
John Moran: Maybe it start out with the follow-up to that one, Steve, when you said absolute dollar amount needs to be dropped you would anticipate that that just kind of roll off of maturity that then get remixed in the loans versus like outright sort of a restructuring or a larger sell, correct?
Steven Nell: That’s correct. Yes. We have a pretty significant cash flow of that portfolio on a monthly basis and so we’ll just roll at into our lending activity. We will go out and sell anything.
John Moran: Okay. Got it. And then you reference it here, but the outgo positioning at the end of the quarter still pretty neutral. And then I noticed that there was I guess $1.7 billion decrease in wholesale funding. Is that the – did you guys unwind the wholesale trade that you put on?
Steve Bradshaw: No.
John Moran: Okay.
Steve Bradshaw: No. We still have that trade on and it still contributes to net interest income and it still dilutes our margin about 11 basis points, 12 basis points.
John Moran: To 11 basis points, 12 basis points, and no change on that with what we…
Steve Bradshaw: No change on that at this stage, no.
John Moran: Okay. And then I had two kind of ticky-tack ones, one on fees and then one on OpEx. The $4.7 million in Mobank one-timers looks like it was probably in other and somewhat in professional services. Do you have the split for that, or is it fair to say it was 50/50?
Steve Bradshaw: I don’t have the exact split for that. I just have the total of $4.7 million. There will be some additional Mobank kind of integration cost that we’ll pick up in the first quarter as we convert that mid February. But we have that again kind of builds in our run rate expenses for 2017 in our plan.
John Moran: Okay. And the Mobank fee contribution, it was one month in the quarter, right?
Steve Bradshaw: That’s right.
John Moran: Okay. And then on the fees, the two quick kind of ticky-tack ones also there. The deposit fees, I think you’re saying in the guidance, everything is going to grow ex mortgage for next year, so we’re declaring victory and we’ve turned the corner here with them growing for the first time in a couple of years?
Steve Bradshaw: I think that’s right, I mean it grew in 2016, it’s going to grow modestly, the service charge line item in 2017 based on our plan. I wouldn’t expect a huge amount of growth there, just modest growth.
John Moran: Okay. And then mortgage, sorry if I missed this, but the purchase first refi for you guys, where is that running? And then the correspondent contribution was in for part of the year this year, right, and it's completely gone at this point?
Steve Bradshaw: The correspondent we’ve completely exited. We have no more carryover of that. And it was contributed, I know the exact number of couple of three million perhaps and in 2016 it’s very low margin business, so we’re out of that. Look at for the split…
Joe Crivelli: Hey, John, it’s Joe Crivelli. Refinances were 63% in Q4.
John Moran: 63% in Q4, okay. Thanks very much. I appreciate you guys taking some detail there.
Joe Crivelli: No problem.
Operator: [Operator instructions] Our next question comes from the line of Brett Rabatin from Piper Jaffray. Please proceed with your questions.
Brett Rabatin: Hey, guys. Good morning.
Steve Bradshaw: Good morning.
Brett Rabatin: Wanted just to go back to expenses and thinking about the guidance and what you achieved this year in terms of improving the operations and efficiency. Are you thinking about any initiatives in 2017 to further think about the branch network, or are there any other things that might come up that would be opportunities for you guys to continue to work on the expense base?
Steve Bradshaw: Sure, Brett. This is Steve Bradshaw. We have identified a number of different targets inside the organization that will be working through during the course of the year to rationalize either some improvements from pricing perspective, margin perspective or to make a different decision. The branch network is always under constant evaluation and yes, we did reduce that last year the previous two years as well, so as we continue to migrate to more mobile delivery you can expect us to continue to rationalize that branch network. But the answer is yes, we are consistently looking down the organization for lower margin or declining margin businesses I think and obviously corresponding mortgages the most recent examples that you can expect to see more from us in 2017.
Brett Rabatin: Okay. And then I guess the other question I wanted to ask was just thinking about mortgage banking and the changes you have made with the hedging, if rates move up or down from here, can you give us maybe some color around what might happen with the relative hedge position and thinking about how that might affect your gain or loss on that?
Steve Bradshaw: Yeah I mean we’ve really just tried to tighten in our parameters around up and down 25 basis points and up and down 50 basis points. We had a wider view of that I think in 2016 and we just feel like to manage some of that volatility a bit better through the income statement we’ll tighten those parameters in. I don’t really want to speak to a exact number because it’s a difficult asset to hedge, but just know that we’ve – we are our parameters for hedging and on a week to week, day to day basis are going to be tighter than they were in 2016.
Brett Rabatin: Okay. Great. Thanks for the color.
Operator: There are no further questions in the queue. I like to hand the call back over to management for closing comments.
Joe Crivelli: Thanks again everyone for joining us. If you have any follow up questions, please give me a call at 918-595-3027. Thank you.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may now disconnect your lines at this time and have a wonderful day.